Operator: Good morning and welcome to ARMOUR Residential REIT Fourth Quarter 2024 Earnings Conference Call. All participants will be in listen only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Ulm, CEO. Please go ahead.
Scott Ulm: Good morning and welcome to our fourth quarter 2024 conference call. This morning I'm joined by our CFO Gordon Harper as well as our co CIOs Sergey Losyev and Desmond Macauley. I'll now turn the call over to Gordon to run through the financial results.
Gordon Harper: Thank you, Scott. By now everyone has access to ARMOUR's earnings release which can be found on ARMOUR's website www.ARMOURreit.com. This conference call includes forward-looking statements which are intended to be subject to the Safe Harbor protection provided by the Private Securities Litigation Reform act of 1995. The risk factors section of ARMOUR's periodic reports filed with the Securities and Exchange Commission describe certain factors beyond ARMOUR's control that could cause actual results to differ materially from those expressed in or implied by these forward-looking statements. Those periodic filings can be found on the SEC's website at www.sec.gov. All of today's forward-looking statements are subject to change without notice. We disclaim any obligation to update them unless required by law. Also, today's discussion refers to certain non-GAAP measures. These measures are reconciled with comparable GAAP measures in our earnings release. An online replay of this conference call will be available on ARMOUR's website shortly and will continue for one year. Turning to results, ARMOUR's Q4 GAAP net loss related to common stockholders was $49.4 million or $0.83 per common share. Net interest income was $12.7 million. Distributable earnings available to common stockholders was $46.5 million or $0.78 per common share. This non-GAAP measure is defined as net interest income plus TBA drop income adjusted for interest income or expense on our interest rate swaps and futures contracts minus net operating expenses. ARMOUR Capital Management continues to waive a portion of their management fees waiving $1.65 million for Q4, which offsets operating expenses. The waiver continues until further notice. During Q4, ARMOUR raised approximately $136.2 million of capital by issuing approximately 7.2 million shares of common stock to an aftermarket offering program. These issuances were mildly diluted to book value at $0.02 per share. Since December 31st, we have continued to be active in our ATM programs issuing approximately 14 million common shares and 17,364 preferred C shares through February 4th, 2025, raising approximately 259 million of total net capital, which again were mildly dilutive. ARMOUR paid monthly common stock dividends per share of $0.24 per common share per month for a total of $0.70 for the quarter. As we stated previously, we aim to pay an attractive dividend that is appropriate in context and stable over the medium term. Taken together with contractual dividends on the Preferred stock, ARMOUR has made cumulative distributions to stockholders of $2.4 billion over its history. Quarter-end book value was $19.07 per common share. Our most current available estimate of book value is as of Monday, February 10th was $19.18 per common share. Now I will turn the call over to our Chief Executive Officer Scott Ulm to discuss ARMOUR’s portfolio position and current strategy.
Scott Ulm: Thank you, Gordon. 2024 was a year of transition for Fed policy as the FOMC [ph] reduced the fed funds rate by 50 basis points in September after keeping it unchanged at 5.25% [ph] since July 2023. The Fed stated that weakness in the labor markets prompted the larger than typical 25 basis point rate cut. Yet the U.S. economy remained resilient in the fourth quarter and as economic data continued to improve, investors reduced the number of expected rate cuts and extended their timing leading to increased bond yields and wider spreads. The outcome of the U.S. Presidential elections with a supportive pro-growth agenda and a potentially larger fiscal spending program added another layer of concern for the treasury markets. Lastly, a hawkish rate cut at the December FOMC meeting injected another round of volatility in a month that has been historically favorable for bond investors. Despite the fourth quarter's swings in MBS valuations, ARMOUR maintains a constructive view on agency MBS spreads. Our positively sloped, steeper yield curve and historically attractive MBS spreads are currently generating approximately 150 basis points positive versus cash. Moreover, a duration hedged levered ROE measure produces some of the most attractive yields in ARMOUR's history at 18% to 19% on the production and premium coupon MBS. Although macroeconomic and geopolitical themes continue to prevail, such an attractive carry profile leaves us as buyers of MBS during episodes of spread weakness or volatility. Our view is supported by less volatile spreads in 2025 as well as the growing diversification of the mortgage investor base, which has steadily grown from money managers to continued overseas buying and bank demand turning net positive in 2024. With monetary policy on hold, we expect rates to trade in a range bound environment over the earlier part of the year, a tailwind for consistent MBS returns. Of course, it is just as important to recognize potential headwinds facing MBS investors this year. The recent reemergence of headlines around GSE reform adds to the already busy list of macro drivers that could keep investors in cash for longer than expected. Due to bureaucratic and regulatory complexity and the GSU's outsized role in the housing market, we do not see reforms as an imminent risk, but acknowledged that the new administration, including Scott Bessent as head of the U.S. Treasury Department and Bill Pulte as the head of the FHFA, could begin to introduce details and steps needed for their eventual exit. Our exposure to Gini MBS helps mitigate some of the reformers in conventional MBS for -- but until we see more concrete proposals, the current situation leaves us looking to fade headline driven volatility. Secondly, we believe the bank's seemingly slower than expected deployment in agency MBS assets could be driven by lack of clarity in the proposed regulatory changes which, though appearing to turn more favorable in recent months, lack certainty of details and timing. Thus, this is a when, not an if issue, which we will see more transaction if Michelle Bowman, a strong proponent of banking regulations, gets nominated and confirms his new Vice Chair for Banking Supervision. Similarly, we've been encouraged by Treasury Secretary Bessent's plans to keep future coupon treasury issuance steady and tackle the budget deficit, steps that strengthen investors confidence and incentivize banks to allocate their reserves into treasury and MBS markets. Let me turn it over to Desmond for more detail on our portfolio. Desmond?
Desmond Macauley: Thank you, Scott. In Q4, our agency portfolio experienced approximately 4 basis points of widening in nominal spreads versus approximately 5 basis points of widening in production MBS treasury basis. Year-to-date, portfolio assets have tightened approximately 3 basis points and our book value stands at approximately $19.18 per share as of market close on February 10th. Net portfolio duration and implied leverage we are at 0.36 years and 7.9 turns respectively, while cash and box liquidity is at approximately 50% of the total capital. The hedge book is composed of approximately 25% treasury based hedges and the remainder in OIS and SOFO [ph] pay swaps. This allocation benefits us if swap spreads continue to appreciate and help diversify some of the risk if concerns around term funding premium resurface. We maintain healthy levels of available capital liquidity with room to grow leverage in the appropriate market conditions. We were successful in bolstering our capital base through issuance of common and preferred equity in late 2024 and in the first quarter of this year. Given our favorable outlook for MBS carry, we deployed newly raised capital to purchase approximately $2 billion of mortgage assets and TBAs year-to-date, which earn at or above our hurdle rate after accounting for costs and expenses. We expect earnings available for distribution to exceed our Q1 dividend rate. The overall investment portfolio remains liquid with 100% agency MBS and well diversified across the 30-year coupon stack ranging from 2.5% to 6.5% with particular overweight to 5.5% and 6% coupons where spreads and carry are most attractive. Portfolio MBS prepayment rates have averaged 8.7 CPR in Q4 and trending at around 6.4 average CPR so far in Q1. We expect the prepayment environment to remain uneventful for our portfolio mix of modest price premiums and discount MBS, and while mortgage rates remain above 6.5%. Despite the slow prepayment environment, we continue to favor specified pools which exhibit better convexity over TBA and are less exposed to refinancings should mortgage rates rally to 2024 lows of 6%. Having said that, we have increased our exposure to TBA role in coupons where we see some return in roll specialness since the start of the year. While these are not poor long-term positions, they help enhance market liquidity and flexibility of the portfolio. The repo market experienced some pricing pressures at the year-end as expected, but has since returned to a more typical so for a plus 15 basis points repo spread. We fund 40% to 60% of our MBS portfolio with our affiliate BUCKLER Securities while spreading out the remaining repo balances across 15 to 20 other counterparties to provide ARMOUR with the best financing opportunities. Overall repo funding for agency MBS remains plentiful and competitively priced across the board, and Fed Chairman Powell continues to reiterate that banking reserves remain abundant. Back to you Scott.
Scott Ulm: Thank you very much. At this point I think we'd like to open up for any questions.
Operator: Yes sir. [Operator Instructions] The first question comes from Doug Harter with UBS. Please go ahead.
Doug Harter: Thanks. First, just a clarification on the book value update. How does that factor in February's dividend?
Scott Ulm: It does not, as we go ex-dividend by the end of this week.
Doug Harter: Okay, I appreciate that. And then, just, I guess, how are you thinking about the outlook for volatility, and the potential costs of volatility on your returns?
Sergey Losyev: Yes, good morning, Doug, this is Sergey. How are you? Thank you for your question. We've seen volatility decline here both in rates and spread. And I think this has been the kind of really the tailwind for the MBS market to earn consistent roe without the volatility that we've seen over the last two years. We expect this volatility to continue to grind lower with the Fed on hold. We feel like this will be a more range bound environment than what we've seen in prior years. At the same time, we do feel like there's more cuts on the table. The question is going to be their timing. But overall the volatility aspect of the market looks very attainable.
Doug Harter: Great, appreciate that, Sergey.
Operator: The next question comes from Jason Weaver with Jones Trading. Please go ahead.
Jason Weaver: Hey, good morning. Thanks for taking my question, Scott. I think in your initial comments you mentioned you expect something like 18%, 19% ROE on generics concurrently. How does that compare with your actual deployment, your the 2 billion of actual deployments here today? What are you expecting there?
Scott Ulm: We've been able to deploy, at what those, at those expected numbers. Now what tomorrow brings.
Jason Weaver: Okay, that's fair. I just wanted to clarify.
Scott Ulm: Yes. I can't tell you what tomorrow brings, but we've been pretty encouraged by what we've been able to achieve with new capital.
Jason Weaver: Got it. Thank you for that. And what we're seeing on the screen at least year-to-date, is mirroring your expectation of somewhat tighter spreads, even in the face of some of these hotter inflationary prints. I was curious internally, what are the biggest sort of risk factors you're concerned about for spread widening going forward?
Scott Ulm: There's always stuff to worry about, as you know. Right. It starts with geopolitical stuff that's out there. It follows through. We've got GSE reforms have been wildcard, as we said. Look I think that's going to be a heavy lift. It's been on the agenda for past Trump administrations and, didn't quite get there. And there is certainly headline risk there, comments on what could happen. But there's a lot of wood to chop on that one. But that could introduce, some headline stuff there. We've got ongoing fiscal issues, treasury supply that might be there. And, obviously we've got this inflation story which continues to evolve, but probably another couple pages of things that we could come up with. There's always a lot to worry about, something going bump in the night.
Jason Weaver: Got it. Thanks for that, color.
Operator: The next question comes from Jason Stewart with Janney Montgomery Scott. Please go ahead.
Jason Stewart: Hey, good morning. Thank you. I wanted to follow up on the GSE reform topic. Thanks for the color and the comments there. Maybe if you could put a finer point on how much you think is priced into the mortgage basis right now and as we go through that process and at least see headlines, what kind of widening you would expect to see in terms of basis points and how you would position the portfolio and risk for that environment?
Scott Ulm: That's a tough one. Look, I saw some research that said if the agencies stood on their own, they'd be single A rated and cut that at 70 or 70 basis points or a point of additional spread required. That's a big number. On the other hand, I think it's a, it's a little beyond the pale to think that after the better part of a century of enjoying an implicit government guarantee, now we got, it's and obviously the issue is making it explicit in law. But we've got, preferred purchase stuff and five treasury secretaries that say they back the agencies that we're going to walk away from the implicit support that we've got. My bet is that, that we'll see efforts to exit conservancy and probably tie that with substantial private capital tied to the front bumper to protect the taxpayer, but still leaving some version of what's been in place for a long time. How much is priced in today? I don't know, A lot. I wouldn't say none because it's hard to say none. But I don't think there's a whole lot priced in right now. Yes, a good measuring tool for that are genie fanny swaps, which haven't really reacted to many of the headlines that you see in the equity markets so that kind of underlines what Scott just mentioned. The steady growth of retained earnings could put them on the path to eventual exit. So the new FHFA director could look to increase their profitability through certain ways, like increasing the risk premiums on loans and things like that. So this could reshape the footprint of GSEs going forward, but we don't see an abrupt exit as the base case scenario.
Jason Stewart: Okay, that's helpful. So the net takeaway for ARR would be debt-to-equity. Probably doesn't change much unless we get a material shift in terms of the path forward.
Scott Ulm: [Indiscernible]
Jason Stewart: Okay. Okay. That was it for me. Thank you.
Scott Ulm: Thanks.
Operator: The next question comes from Mikhail Goberman with Citizens JMP. Please go ahead.
Mikhail Goberman: Hey, good morning, guys. Thanks for taking the question sitting in for Trevor today. Just curious, what would you guys need to see to either increase or decrease leverage from this point on?
Scott Ulm: Yes. Hi, Mikael. So we are very comfortable with current leverage. The last time we checked, we were somewhat above the average of our peers. So we like the leverage where it is today given the compelling returns profile of assets that we purchase. Yet as we mentioned in our prepared remarks, there are some questions that, we are looking to have answered in order for us to increase our leverage. That is the GSE reforms, QT, the timing of any potential tapering of QT. These are the things that we're kind of looking for more clarity on in order to increase leverage from here. In terms of potentially decreasing leverage, we don't see that in our base case. But if, for example, we see the curve flattening for some reason, maybe more Fed hikes get priced in. Those could be the areas of concern that may cause us to reduce our leverage. But those are tail risks. We don't see that as base case.
Mikhail Goberman: Got it. Thank you. And what is your outlook on swap spreads for this year and the trade-off of using swaps versus treasuries for hedges?
Scott Ulm: Yes. So swaps position have had quite a move this year. I think we moved more than 10 basis points from the tight late December. This was all driven by the fact that, Treasury Secretary Bessent’s commentary and commitment to bringing term premium lower as well as some of the banking deregulation proposals by the Fed and potentially new light share with Michelle Bowman. So a lot has been priced in behind those comments already. I think the next pricing point is going to be what actions are actually going to be taking. So we use our swap position of 75% versus 25 in treasuries. That's kind of, very base case, comfortable position where we're well positioned for the further widening appreciation of swap spreads. But if things turn around, we do have a treasury position to diversify some of that risk.
Mikhail Goberman: Great, thank you for that color. And just to confirm, on current book value, that's 1918.
Gordon Harper: Correct. $19.18.
Mikhail Goberman: Great, thanks a lot. Best of luck going forward, guys. Thank you.
Operator: The next question comes from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey guys, first on the ATM, 136.2. Is that gross or net?
Scott Ulm: Net.
Christopher Nolan: Okay. And then as memory serves, last quarter you guys basically were increasing your portfolio weighting into lower coupon shorter term MBS on the expectations of further Fed rate cuts. Now, fast forward to the fourth quarter. Has your expectations of rate cuts changed with the outcome of the presidential election? And are you positioning the portfolio more for a higher long end or if you can get a little color in terms of how your portfolio position has changed?
Scott Ulm: Yes, thank you. So we followed the model, don't fight the Fed in December meeting. They've indicated that rates are still well restricted territory and that well above the neutral rate now. Since then we did have new economic data releases including unemployment and CPI. So a lot of these things will continue to move the timing of further cuts. But we still firmly believe that there's more cuts on the table and we're positioned for it on duration and coupon stack positioning. Now what the guy said in terms of ROE, the most attractive part in a coupon stack is in 5 5 and 6 higher coupon positioning. So we've been particularly active there.
Christopher Nolan: Great. Okay, thank you.
Operator: [Operator Instructions] The next question comes from Eric Hagen with BTIG. Please go ahead.
Eric Hagen: Hey, thanks. Good morning. Another follow up on the asset selection. I mean, I think you mentioned liking higher coupon specified pools. How are the pay ups right now relative to pay ups in the current coupon historically? And do you feel like pay ups maybe have as much value as they have historically just given how aggressive the originators are in targeting borrowers for a refi?
Scott Ulm: Yes, that's a good question, Eric. A lot of the spec payoffs have appreciated over the last few months. We're seeing the theoretical break even on the payoff source of the model approaching close to 100%. So this is why we've increased our positioning in TBA dollar rolls as well to kind of diversify away from full payout premiums. But -- so that's been the strategy to wait out in some of the TBA positions to be able to swap back inspectables when we see them more attractive.
Eric Hagen: Okay, interesting. Going over to repo market conditions, I mean do you feel like the steeper yield curve is supportive for spreads and liquidity in the repo market? And how much demand do you guys see to extend repo, pick up term repo right now? Thank you.
Scott Ulm: Yes, so the repo curve typically we look at one to two months is relatively flat. So it's really more depends on kind of what the, what the initiatives out of the Treasury Department are coming in terms of their funding and their financings and how that affects the calendar rates. But overall repo market has been extremely well behaved since the year end. I think we're seeing kind of sulfur plus mid-teens type of spreads and that part of the market is very beneficial to the agency MBS.
Eric Hagen: Okay, thank you guys so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Scott Ulm for any closing remarks.
Scott Ulm: Thank you so much for joining us this morning and we look forward to speaking with you. Feel free to call us with any follow ups you have. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.